Operator: Good morning, my name is Kaley and I will be your conference facilitator. At this time, I would like to welcome everyone to Two Harbors’ First Quarter 2017 Financial Results Conference Call. All participants will be on a listen-only mode. After the speakers’ remarks, there will be a question-and-answer period. [Operator Instructions] I’d now like to turn the call over to Tim Perrott, Senior Director of Investor Relations for Two Harbors.
Tim Perrott: Thank you, Kaley, and good morning to everyone. Thank you for joining our call to discuss Two Harbors’ first quarter 2017 financial results. With me on the call this morning are Tom Siering, our President and CEO; Brad Farrell, our CFO; and Bill Roth, our CIO. After my introductory comments, Tom will provide a brief recap of our quarterly results; Brad will highlight key items from our financials and Bill will review our portfolio performance. The press release and financial tables associated with today’s call were filed yesterday with the SEC. If you do not have a copy, you may find them on the website or the SEC’s website at sec.gov. In our earnings release and slides, which are now posted in the Investor Relations section of our website, we have provided a reconciliation of GAAP to non-GAAP financial measures. We urge you to review this information in conjunction with today’s call. I would also like to mention that this call is being webcast and may be accessed on our website in the same location. Before I turn the call over to Tom, I’d like to remind you that remarks made by management during this conference call and supporting slides, may include forward-looking statements. Forward-looking statements reflect our views regarding future events and are typically associated with the words, such as anticipate, expect, estimate and believe or other such words. We caution investors not to rely unduly on forward-looking statements. They imply risks and uncertainties, and actual results may differ materially from expectations. We urge you to carefully consider the risks described in our filings with the SEC, which may be obtained on the SEC’s website at sec.gov. We do not undertake any obligation to update or correct any forward-looking statements if later events prove them to be inaccurate. I will now turn the call over to Tom.
Tom Siering: Thank you, Tim, and good morning everyone. We hope that you had a chance to review our earnings press release that we issued last night. As you can see, we are off to a terrific start to the year as our team continues to execute in accordance with our previously articulated plan for 2017. In the quarter, we drove solid increases in book value, core earnings and comprehensive income, and are on track to deliver strong earnings this year. In support of this, we are intent on running a leaner business model focused on allocation of capital to the most attractive market opportunities and by cost containment. Through our attention to risk management and asset selection, our performance this quarter again demonstrates our ability to deliver stable and strong returns for shareholders through a variety of rate environments. Looking at the highlights of our financial results, as reflected on Slide 3, we delivered a total return on book value of 3.9% and generated comprehensive income of $146 million, or $0.42 per weighted average share. First quarter GAAP net income was $0.21 per weighted average share and core earnings were $0.27 per weighted average share, consistent with our plan. Our rates, credit and commercial strategies all contribute to our solid performance during the quarter. We opportunistically added agency pools as we raised capital. I would also like to highlight that our MSR position continues to grow and is performing well, helping to provide book value stability. The environment for credit continues to improve with economic growth, strong employment and increasing housing prices all enhancing the long runway for our valuable credit portfolio. The opportunities for high-quality commercial lending are abundant and our loan portfolio continues to expand. Additionally, we continue to manage our balance sheet and capital structure to benefit stockholders. Specifically, we recently executed convertible debt and preferred stock offerings that we believe will be accretive to earnings in 2017 and beyond. Please turn to Slide 4. Overall, we are off to a great start and are very encouraged about the opportunities ahead in 2017. Moving forward, we will continue to execute upon the plan we outlined during our recent Investor Day, and look for additional ways to optimize our business in order to maximize book value for our shareholders. We continue to see attractive investment opportunities in all of our business strategies, which we will pursue while not losing focus on our disciplined and refined approach to risk management. Because our approach leaves us largely insulated to change in rates, we believe that we are well-positioned to deliver strong value for shareholders in this environment. I will now turn it over to Brad for a review of our financial results.
Brad Farrell: Thank you, Tom. Let’s turn to Slide 5. Our book value at March 31 was $9.91 per share compared to $9.78 at December 31, and we declared a $0.25 dividend per share. We delivered comprehensive income of $145.7 million, or $0.42 per share in the first quarter. Please turn to Slide 6. Beginning this quarter, we are revising our methodology for calculating core earnings, a non-GAAP measure, to exclude amortization of our unvested restricted stock. Because of the fair value volatility associated with our restricted stock amortization, and the non-cash nature of the expense, we believe this change creates a more meaningful definition of core earnings that better reflects recurring cash earnings. As such, excluding the restricted stock amortization, core earnings were $0.27 per share in the first quarter. Without this change in the definition, our core earnings for the first quarter would have been $0.26 per share. For the fourth quarter of 2016, revised and unrevised core earnings would have been $0.25 and $0.24, respectively. Please see Appendix Slide 17 in the earnings presentation for historical data on revised and unrevised core earnings. In the quarter, core earnings principally benefited from a $3.3 million increase in net carry from purchases of RMBS at higher yields, growth of our commercial real estate portfolio and higher average leverage during the quarter. Additionally, we realized a $13.6 million increase in servicing revenue net of estimated amortization, driven primarily by portfolio growth, and importantly, lower prepayments in the quarter. We’d also like to highlight that core earnings, attributable to common shares this quarter, was not reduced by any preferred stock dividends given the timing of our issuance. Beginning next quarter, any preferred stock dividends will be reflected in our results. I would note that our second quarter results will likely include an additional $1.4 million of preferred dividends as it will cover an extended period from March 14 to July 27. As a reminder, both common stock and preferred stock dividend declarations are subject to the approval of the Board of Directors. In the quarter, our debt-to-equity increased to 4.9x from 3.9x and our average debt-to-equity increased to 4.4x from 4.2x in the fourth quarter. The increase in our debt-to-equity, quarter-over-quarter, is largely a product of our increased Agency RMBS position. Our other operating expense ratio decreased to 1.8% down from 1.9% in the fourth quarter, despite significant business activity. As we have said on past earnings calls, we believe that our expense ratio will stabilized in the 1.6% to 1.8% range as we continue to support our strategies. Please turn to Slide 7. We are focused on constructing a dynamic and diversified financing profile, including traditional FHLB, revolving credit facilities and convertible senior notes. We had $13.6 billion of outstanding repurchase agreements on March 31, for 24 counterparties. The repo markets continue to function efficiently for us and we have not observed any disruptions. We continue to thoughtfully manage our FHLB capacity; our FHLB advances totaled $3.6 billion at March 31, with a weighted average borrowing rate of 1.04%. MSR is being financed through both revolving credit facilities and the convertible debt issuance. At quarter-end, we had $15 million of short-term borrowings under revolving credit facilities, with additional available capacity of $55 million. Subsequent to quarter-end, we added an additional $20 million of capacity under one of our facilities. Additionally, as we mentioned on our prior earnings call, this quarter we completed an offering of convertible unsecured senior notes. This is a great example of expanding our toolbox to improve our financing profile. While there are some larger MSR financing facilities in the market recently, the spreads range between 500 to 550. We were able to add the convertible debt issuance at a fixed rate of 6.25%, which we felt like a much better rate due to the 5-year term. We now have 4 facilities in place for financing commercial real estate and expanded one of our facilities from $250 million to $400 million in the first quarter. We expect to add more counterparties in the next several months as there are a significant number of counterparties in the market that have both the knowledge and the balance sheet to support our CRE portfolio as it grows. We have provided some additional details on our borrowings on appendix Slide 25. I will now turn the call over to Bill for a portfolio update.
Bill Roth: Thank you, Brad, and good morning, everyone. We had a strong quarter across all of our strategies, particularly our credit strategy. With a focus on asset selection and maintaining low exposure to interest rate, we opportunistically added agency and non-agency RMBS and continue to grow our MSR and CRE portfolios. Looking at Slide 8, you will see both our portfolio composition at March 31, and our capital allocation quarter-over-quarter and year-over-year. Capital allocated across our three strategies remain consistent with the prior quarter. Moving to Slide 9, I’d like to go over a few of the drivers of our portfolio performance in the first quarter. Interest rates were less volatile, with the curve flattening modesty. Agency RMBS prices were relatively flat, while non-agency spreads tightened positively benefiting our credit strategy and overall performance. Our annualized portfolio yield was 3.99% up from 3.54% in the fourth quarter. This increase was largely driven by higher yields in our rate strategy, including seasonally lower prepayments fees typically experienced in the first quarter of the year that particularly benefited our MSR position. Our non-agencies performed well, as there was increased demand for assets with exposure to residential credit risk. Commercial real estate also performed very well in the quarter delivering a 6.2% yield. Please turn to Slide 10, as we discuss our rate strategy. As we have mentioned in the past, our approach to risk management is designed to provide book value stability, through different rate environments. We believe that we can drive strong returns by getting better spreads with lower risk and without taking outsized interest rate exposure. MSR is an important component of our rate strategy as the combination of agency pools and MSR drives a higher return with less basis risk than agencies hedged with swaps. We think that this is particularly important given the potential spread widening that could occur if the FED reduces their MBS holdings later this year and into 2018. Furthermore, as we mentioned in our Investor Day presentation, with the issuance of the convertible debt financing, we have been able to add a modest amount of leverage to our MSR and increase our expected returns. In terms of portfolio activity, during the quarter in our rate strategy, we sold some pools at lower yield while buying additional pools at higher yields. You will note that our balance of agency pools, including TBAs, went $9.3 billion at December 31, to $13.6 billion at March 31. The primary driver of this increase was due to initially deploying proceeds from the capital raises in the first quarter into highly liquid agency pools in order to maximize returns, with a plan to redeploy that capital into MSR and commercial real estate assets. We expect that as this happens, our agency pools balance and overall leverage will drop back down. To highlight this, subsequent to the quarter-end, we entered into an agreement to purchase approximately $12 billion UPB of new issue conventional MSR for about $130 million. As usual, this is subject to GSE transfer approval. Additionally, during the quarter, we added approximately $7 billion UPB of new issue conventional MSR from flow sale arrangements. It is our expectation that near-term flow sale MSR volume will run between $2 billion to $2.5 billion UPB per month. We expect to continue to grow MSR as a component of our rate strategy in 2017. Let’s move to Slide 11 to discuss our credit strategy. Residential credit performed very well in the first quarter as spreads tightened and as asset class continues to experience fundamental improvement and positive market technicals. Home prices have outperformed expectations, up 7% on a rolling 12-month basis, boosted by affordability, low housing supply and strong demand. Additionally, prepayments are higher year-over-year as exemplified by our 3-month CPR increasing to 6.7% from 5.3% a year ago. We believe that future upside for residential credit, and therefore our non-agency holdings, will be driven by increasing pre-pays, lower delinquencies, defaults and severities. We opportunistically bought about $340 million of legacy non-agency securities in the quarter as we saw bonds with upside potential trading at attractive levels. We anticipate that this strategy will continue to perform well and with our portfolio having an average market price of about $75, we believe we have the ability to realize future upside. Please turn to Slide 12 as we discuss our commercial strategy. Our portfolio grew to $1.5 billion in the first quarter, with an average stabilized LTV at 64% and an average spread over LIBOR of 478 basis points. While the first quarter of the year is seasonally slow for commercial real estate, recently, we have seen a tremendous amount of loans come into our purview. Subsequent to quarter-end, we have about $300 million of loans in our pipeline that are either closed or under contract. As a reminder, we are focused on leverage first mortgage loans in the top 25 and up to top 50 MSAs in the United States. We believe these markets provide ample supply of high credit quality properties to lend against, sufficient number of owners and sponsors with institutional attributes and adequate market liquidity. We remain focused on growing this portfolio of high-quality loans. Our performance this quarter is a testament to our focus on asset selection, while maintaining a sophisticated and sensible approach to risk management. Looking forward into 2017, we see attractive investment opportunities in our target assets and aim to execute on our plan to drive increased earnings this year. With that, I will turn the call back over to Kelly for Q&A.
Operator: Thank you. Ladies and gentlemen [Operator Instructions] Our first question comes from the line of Bose George with KBW. Your line is open.
Eric Hagen: Hey, Thanks. Good morning guys. With Eric on for Bose. I’m hoping you can expand on the last couple of sentences of your opening remarks. Can you talk about where you’re finding the best incremental opportunities for new investments, including some of the gross ROEs that you expect to hit on those?
Bill Roth: Hey Eric, this is Bill. Good morning.
Eric Hagen: Good morning.
Bill Roth: And thanks for joining. Yes I think, what we’re seeing today is fairly consistent with what we’ve talked about in the last several quarters. The best opportunities that we’re seeing continue to be MSR, combined with pools which we see expected growth returns in the low-to-mid double-digits. We’ve talked about the CRE opportunity where returns are also low-to-mid double-digits for levered first mortgage loans. Additionally, I commented on the call about non-agencies with the upside potential we see there. So I’d say consistent with what we said before, we’re really focused on primarily the MSR and CRE for capital deployment as we move through the rest of the year.
Eric Hagen: Right. Has your target leverage changed at all in those segments prior to where it was maybe a few quarters ago?
A – Bill Roth: Not really I mean what I would say about leverage, and I did mention this on the call, we had a convertible bond in preferred stock issuances, which we deployed primarily into agencies as a placeholder opportunistically during the quarter. But you should expect to see our overall leverage move lower as we redeploy those proceeds into MSR and CRE. One thing its worth noting is that by having the MSR in our portfolio, it allows us to own more agency pools relative to our size without taking on the additional basis risk. On the margin, we can run slightly higher leverage because of that fact. But we’re not looking at changing leverage away from that.
Tom Siering: Eric it is Tom, when you raise capital to minimize the drag from the additional capital, the quickest way to work put to work, obviously, is put it in the agency space. So our leverage ticked up as a result of that but then as we reallocate the other areas you should expect to tick down.
Eric Hagen: Right. Well that is helpful.
Bill Roth: The short answer to your question is no, our market leverage hasn’t changed significantly.
Eric Hagen: Got it. And that make sense, this one more from me if you don’t mind I mean following up on that, comment about basis risk, I think we’ve become accustomed to seeing a core position of options in the portfolio, including things like puts and cause on TBAs. Should we expect the size of that to change at all with respect to the size of agency portfolio? Or are you generally comfortable with the amount of protection that you’re getting from the MSR portfolio as well?
Bill Roth: Well. This is Bill again. The amount of optional protection that we carried at any given time is really a function of a couple of things. First of all, obviously, how much we have in agencies. So the bigger it is you can expect us to have more protection, and the relative pricing attractiveness of that versus other potential choices. More recently, we're seeing – since the fourth quarter we had a big move in rate, rates has been fairly new. If you look at the first quarter, it bounced around but generally volatility was very low, so when volatility is low and you can buy options cheaply we would typically have more and vice versa when it's expensive we would have less. But I think the big driver will be the amount of pools that we have.
Eric Hagen: Right.
Bill Roth: To be clear, our thinking on the use of those has not changed.
Eric Hagen: Right, right that’s very helpful Bill. Thanks guys, appreciated.
Bill Roth: Thanks Eric
Operator: Thank you. Our next question comes from line of Trevor Cranston with JMP Securities. Your line is open.
Trevor Cranston: Hi. Thanks. I’ve got a couple of questions on the MSR portfolio. First, you guys added the $12 billion of pools subsequent to quarter-end and obviously talked about the expectation for a flow volume. Can you comment on what you're seeing in the MSR availability for sale outside of the flow agreements? And if there has been much change in terms of market competition for those assets, since the industry is a bit higher over last few months. Thanks.
Bill Roth: Hey, good morning Trevor. Yes, so we have seen some bulk pools out for bid, nothing extraordinarily out of the norm. I think you saw some pools come up good in the first quarter which has the rate move higher and some folks may be want to take advantage of that, that have been sitting somewhere in the evaluation of what they had increased. But our approach frankly is really geared towards the flow. Opportunity we have about 15 sellers currently that we work with, and I talked about the pace. Our interest in taking advantage of bulk pool really would be opportunistic. We saw an opportunity to buy a pool that really the characteristics were good, the price is good, et cetera, and so we would take advantage of that. But I would not say that the landscape has changed dramatically one way or another vis-à-vis overall transactional volumes of supply or frankly, the level, the price level. Valuations are roughly consistent to where they've been for the last six months to 18 months. Keep in mind too...
Tom Siering: Good morning Charles, it’s Tom. We have a very bespoke interest in MSR, in other words, current coupon high-quality more or less production, and so that doesn’t really lend itself broadly to bulk purchases, but as Bill said opportunistically will certainly play there.
Trevor Cranston: Great that make sense. On then on the financing side for MSRs. Obviously you guys had some capacity in place currently. Could you just give us an update on sort of what you’re seeing in terms of availability? And if you expect that to just continue growing incrementally as MSR continues to be added to the portfolio?
Brad Farrell: Hi Trevor this is Brad. I’d say long-term we’re optimistic that participants are coming back to this space. What we’re seeing right now is more focused on or at least the deal that we’re more focused on GD May collateral [ph], and they were starting to become a better size but the pricing was still a little off. So I think if we wait patiently we’ll start seeing some opportunities in the market. We’re looking at that quite in-depth and we think in the next 12 months, we think there is some opportunities to adding some more secure to the MSR financing at rates that we find appealing. The good thing is we’re seeing a lot of participants really starting to designing structures that are both appealing to our REIT, as well as just obviously economically appealing. For now the two facilities we have, we’re happy with as well as offering that convertible debt in the near-term with a nice way to apply some leverage to the MSR. It’ll take a bit of time, but we do think the market will come back. I think it first came with a little bit more focus on Ginnie Mae, but we will see opportunities for other conventional collateral as well.
Trevor Cranston: Got it. Okay, thanks, guys.
Operator: Thank you. Our next question comes on the line of Doug Harter from Credit Suisse. Your lines in open.
Samuel Choe: Hi this is Sam, showing in for Doug. I mean you guys have been pretty consistent in saying that you guy like the MSR and the commercial space. I was just wondering if you provide any guidance on how these assets might comprise of the entire investing portfolio by year end?
Bill Roth: Yes hi, good morning, this is Bill. Thanks for joining us. I think, consistent with what we said on our Investor Day back in March, we continued to expect to deploy capital of somewhere between 0.5% and 1% to 1.5% combined to those two on a monthly basis throughout the remainder of the year, assuming the opportunity in each were still attractive. I’d say given that we still do view both of those opportunities as quite attractive, I think that pace is – we would not change our view on that kind of pace of deployment for the remainder of the year.
Samuel Choe: Got it, okay. And my second question was, after the capital raises, I was wondering how much leverageable capital you guys have on hand? I’m not sure if you guys disclosed that number.
Brad Farrell: Sorry I just want to make sure we understand your question.
Samuel Choe: More like excess capital. Yes, this excess capital.
Brad Farrell: Generally speaking, we’re fully deployed on that this time. Obviously, we carry unencumbered cash for both from a risk and a managing margin protection, but from a deployment perspective, we feel we are deployed from the preferred and convertible debt offering.
Samuel Choe: Got it, okay. Thank you.
Operator: Thank you. Our next question comes of the line of George Bahamondes with Deutsche Bank. Your line is open.
George Bahamondes: Hi guys good morning. Majority of my questions on MSR were answered earlier but just one more on my end was, I noticed that service expense decreased a bit. I was wondering if can clarify what some of the drivers were there?
Bill Roth: Yes I’ll take that question. So have to dig into a little bit of details there but one of the reasons it jumped down a little bit is we released some rep and warrant reserves in the quarter, so some of that is more driven by our accounting around reserves versus necessarily the run rate on underlying expenses. Our underlying kind of cost to sub-service does remain consistent quarter-over-quarter.
George Bahamondes: Right I noticed that in the presentation. Okay, great. Thank you.
Bill Roth: Thank you.
Operator: Thank you. And our next question comes on the line of Joel Houck with Wells Fargo. Your line is open.
Joel Houck: Hi good morning, guys. Thanks for taking my question. First one is about the $340 million purchase of legacy in Agency RMBS. I guess maybe you could provide a little bit color of what is unique about that particular purchase given your overall theme has been one that kind of led the portfolio lying down in some cases you’ve been very clear about selling down the exposure. So I guess that’s the first question.
Bill Roth: Hi Joel, thanks for joining us today. This is Bill, good morning.
Joel Houck: Good morning, Bill.
Bill Roth: I think, let me answered that, you had a few questions in there. So the first thing, in terms of the selling down, what we said in the past and what we focused on doing is selling bonds that basically had run out of room in from a price standpoint. Now there was if we bought something at $50 and it’s now trade and had all this upside, and is now trading at $95. There’s just not much upside to capitalize there. So I’d say the bonds that we’ve sold historically overtime it could have been very high dollar price where there was really not much more upside available. In terms of sort of why we added the portfolio, there were some opportunities that we saw to buy deeply discounted bonds. And if you think back to what we talk about on Investor Day, the supply demand equation for housing is very favorable in terms of potential future price appreciation. Affordability is still very, very favorable and the tailwinds that we see to this strategy are also extremely favorable. So we believe that – and the fact to give you an idea, we talked about the most recent increase year-over-year in housing prices. One investment bank just increased their forecast for 2017, by several percentage points. I mean the gist of it is that what we bought is our deeply discounted bonds where we think there’s a lot of upside and that’s what we’re focused capitalizing on. So I think the way you should think about approach to that is when bonds have run out of room, it’s not unfair to assume we might sell them, but where there is opportunities for bonds that have decent initial expected ROEs with a lot of price appreciation capability, those are the kind of bonds we really like.
Tom Siering: Yes. So Joel, not surprisingly, we keep very close track of housing data, I mean obviously an obsession of ours, and if you look at the data around things like household formation versus new construction look at affordability it’s pretty easy to stay continue to be bullish on – and the reason that our prepayments have uptick as they have in the non-agency space. It’s just because people are coming into the money primarily and are able to refinance, and so we see those trends continuing throughout the year. So I think, Bill said it right, then opportunistically we saw some bonds that really fit our profile and while it was admittedly somewhat unexpected there was certain [indiscernible].
Joel Houck: Yes, I mean you guys have been good recyclers of capital in this particular subsector, I guess we were thinking perhaps there weren’t that many opportunities out there to buy deeply discounted bonds, but obviously, they still are. On the second point, you brought up Tom, that the home price appreciation in core logic up 7% in the last 12 months. That’s not accelerating. And you hear on some of the points why that may be the case. I’m wondering kind of is the outlook here any type of abatement of home prices just given the strength we’ve seen recently or is this the situation where there’s – could be a lot more upside in terms of home prices given the factors that you cited a few minutes ago.
Tom Siering: Well, yes. I mean if you look at those experts, there are recent changes to HPA have been going up and its – the factors what I talk about I mean if you look at relatively simple data white households versus new construction, it’s pretty easy to continue to be bullish on HPA. I mean there are more households being formed than there are homes being built. If that continues, simple math is prices have to go up.
Joel Houck: Yes, I absolutely agree. I’m – also at the same time rents are very higher as well because for people that can’t afford a home, that’s – they are going to continue to – particularly new entrant market but you also see strength in the multifamily market as well, and I’m just kind of wondering is there, in your view, is there enough depth of homebuyers that the affordability doesn’t become an issue more so on the purchase a home as opposed to rental because that’s obviously where your legacy non-agency exposures at?
Bill Roth: Hi Joel. Yes I mean. Those are good points. Let me just – this is consistent with some data that we had on our investor day back in March. End of last year, the median sales price in the U.S. was around $235,000, whereas the cap – the maximum affordable prices was over $300,000. So as you can tell there’s a pretty big gap there, and we’ve had a deficit of homes, the net supply of homes versus the net demand of homes. Since 2009 has been running in excess of 200,000 units per year. So if you think about that, it makes total sense that rents would be going up but if rents are going up and multifamily values are going up, by definition housing prices are going up, in concert with that. You add to that the fact that rates are still really very quite low, you can certainly get a mortgage for 4% area or potentially lower depending on what kind of product you choose, and the economy has been good. So between the supply/demand imbalance, the affordability and where there’s demand for rental housing or demand for housing in general, we’re very optimistic on the future price cap for housing.
Brad Farrell: Yes, to be clear, this strategy is not predicated on while HPA options whatsoever. That’s simply the gravy.
Joel Houck: Yes.
Brad Farrell: I like gravy so.
Joel Houck: All right. Thank you very much guys.
Brad Farrell: Thanks Joel.
Operator: Thank you. And our next question comes from the line of Jessica Levi-Ribner with FBR. Your line is open.
Tim Hayes: Hey guys. This is Tim for Jessica and thanks for taking my question, most have been asked but just to focus on kind of the CRE loan portfolio, saw that the weighted average yield was up during the quarter. Does that reflect the origination activity this quarter being put on as higher yield in the portfolio average or is it more a function of higher rates flowing through the floating rate portfolio? And then kind of what does the competitive environment look like today? Are you seeing spreads come in at all?
Bill Roth: Yes. Hey Tim. Thanks for joining us. Yes so I think to your first question our weighted averaged LIBOR spread is roughly the same as it was last quarter, a few basis points higher I think so – the yield change would have been driven by LIBOR – more as opposed to big spread changes. In terms of the opportunity, I mean basically the opportunity remains very, very strong. Its north of $3 trillion market there is about $1.5 trillion that are rolling in the next several years. The fundamentals in this sector are very strong. There’s good NOI growth, vacancies have improved, cap rates versus treasuries are in line with historical averages, and there’s frankly, a continuous lack of supply. Consistent with what we commented on the residential side, there is a under abundance of supply sort of to prices. In terms of our specific focus, we’re really – have a fundamental approach, we think a bottoms up approach. We’re not focused on any particular property type of market, and we’re generally looking in the top 25 to top 50 market for loans that have very attractive attributes. So from our standpoint, we’re seeing a continuous, attractive loan quality and volumes, as we mentioned, our pipeline was $300 million or so and you can expect – would hopefully flow through this quarter.
Tim Hayes: Okay, thanks and then I guess to that end. I believe on your last conference call you mentioned that kind of the pace of the origination run rate was about 0.5% to 1% of capital per quarter but your comments seem pretty kind of bullish on lending and the pipeline is obviously very strong. So would you expect the pace of loan originations going forward more to mirror kind of the pipeline now or that historical 0.5% to 2% range you mentioned?
Bill Roth: Yes, hey Tim. Just to make sure we’re on the same page. So the 0.5% to 1% on a monthly basis, as opposed to quarterly basis. So if you want to just, from putting a pencil on paper, let’s just say it’s roughly $30 million a month in capital. That gets you somewhere around $100 million or so of senior loans per month. So I think the difference might be the per quarter versus the per month.
Tim Hayes: Okay got it.
Bill Roth: Yes. So and we’re comfortable with that now, with that way of thinking at this point.
Tim Hayes: Okay. Great. Thanks for taking my questions.
Bill Roth: Thank you.
Operator: Thank you. And our next question comes from the line of Rick Shane with J.P. Morgan. Your line is open.
Rick Shane: Hey guys, thanks for taking my questions this morning. Look, you guys had over the years pursued, I would describe a myriad of different strategies and right now it really feels, and especially in terms of results, you’re firing on if not all cylinders most of the cylinders in a lot of the investments and strategies that you pursued are coming to fruition. I’m curious, given where we are right now what concerns you, what’s the tail risk that keeps you guys up at night?
Tom Siering: Yes, I don’t know I mean obviously – probably the biggest risk that we have to the business, obviously, is financing risk, getting levered business model, that’s the biggest risk. I think Brad and his team have done an amazing job. I think he said his words were thick but expanding our toolbox and I think that probably is pretty apt I mean we – I think have the most varied financing options of anyone in the industry. We’re very religious about liquidity management and I think we’ve done a really good job of that of balancing the need to deploy capital but having ample liquidity at all times. That’s certainly a risk to the business but something that as I said we’re quite religious about managing. Obviously, risk still exposed to housing credit and so if there were a significant downturn in housing credit that would not be good for our book. But again, something that we monitor obsessively and we feel very good about the housing market, and particularly about our portfolio and how that’s able to withstand if there is a hiccup within the credit space. So, thank you for comments about firing on all cylinders, we feel that way about ourselves that we articulated the plan, we’re executing on that plan and we’re quite optimistic about the rest of the 2017 and beyond.
Rick Shane: I think that the description maybe not of strategies, but of the toolbox, I think it’s probably a good analogy. One of the things that we’ve struggled with over the years is that we’ve liked the different tools that you’ve thrown into that – into the box but a different point of investments of buying those tools has caused a pattern of appending to light here and there. And it feels like over the last several quarters, you’ve been able to emerge from that. Is just that you’ve reached the size and scale that those investments, in the new tools, no longer have to sort of tenure to impact that you did as you were building up?
Tom Siering: Yes. Rick, I’m not quite sure that we understand your question. Could you just rephrase that perhaps for us?
Rick Shane: Sure.
Tom Siering: I apologize for that.
Rick Shane: Surprising, I get that a lot from folks. Look, what I was saying is that we’ve followed you guys for a long time and when we think back about the history issue have been expanding that toolbox. There has always – there was a pattern particularly as you were building it up of earnings a $0.01 or $0.02 below what the street might be looking for, and generally speaking, it was – and we were in this category as well. Something that we categorized as related to those investments that there was always sort of a build to that toolbox, and in the last 6 months to 12 months that really hasn’t been the case. Is that just a function of you achieving the scale that you can continue to invest in new tools and expand the platform, but because of the size of the platform, it’s no longer having that earnings drag?
Tom Siering: Yes, now I understand your question. Thanks Rick for rephrasing that. I think that we have a very dedicated approach to what our game plan is, and it’s quite simple as three things that I laid out; it’s allocation to the most attractive investment, areas of its cost containment, obviously, our cost have come down as a result of the closing conduit and other factors and then it’s opportunistically using our balance sheet to benefit shareholders, so it’s a combination of all those things. We have a very defined business strategy. We’re executing upon that strategy and it shows on our better results.
Brad Farrell: Yes, this is Brad, and I’m going to just complement those comments from Tom. If you think about MSR, we have achieved its scale. We’re having very efficient deployment through our co-issue program and through both some of our smaller secured financing convertible debt we’re able to apply some leverage to the balance sheet, which obviously does drive returns. If you think about CRE, again, the development of that business, the pipeline that Bill mentioned, and also with now the myriad of financing tools which we also now put in place that also has achieved what we feel is a good scale. And then feeding off of Tom’s comments, we’re always willing to pay some cost of financing, so diversification and bad debt maturity do have a cost. But just like derivatives and hedging, that cost is worth it to protect book value to us and liquidity. And so that’s always something that we’re going to continue on. And then finally, the prime jumbo operator efficiencies in both financing and deployment so with that decision in 2016, we’ve been able to also drive returns there. So I would just kind of complement Tom’s points there.
Rick Shane: Got it, okay. Thank you, guys.
Brad Farrell: Thanks a lot, Rick.
Operator: Thank you. Our next question comes from the line of Mark DeVries with Barclays. Your line is now open.
Mark DeVries : Yes, thanks. I’m sorry if I missed this, but I think Bill you alluded to the fact after you guys raised the recent capital you kind of quickly ramped up into agencies and expect to kind of run that off a little bit as you’re able to redeploy into MSRs and to commercial mortgages. Could you give us a little bit of sense of kind of the pace you wish that would happen and how much we should expect to see the agencies to shrink and the others to grow?
Tom Siering: Hey, Mark, I’m going to hand it over to Bill in a second. But you’re our lead-off, being replaced in the queue has thrown us off a little bit. Good morning.
Mark DeVries : Good morning.
Bill Roth: Hey, Mark, thanks for joining us. Yes, we had a service side question; it wasn’t quite disappointing as yours, so hopefully this will help. As I mentioned, if you figure CRE is around 0.5% to 1% capital a month and same with MSR, so call it $30 million, $40 million a month between the two of them. So you can certainly do the math on the preferred – given the group size of the preferred that it wouldn’t take us very long. And in fact, as an example, this $12 billion of MSR that we contracted to purchase spends about $130 million and that’s subject to DSC approval but that’s a second quarter event. So I think you should assume that the timeframe to redeploy is short. And in terms of the second part of your question, which is how much did you expect to pools to come down. I mean, that’s a really good question, because as we have more MSR, we’re comfortable having more pools to go with that. So, I’d say, you should expect it to come down probably not to the full amount of what it was at the end of last quarter, but somewhere in between. And the amount of – what that size is would really relate to what the opportunity is in the agency space and I did mention, and you might have missed this, that we are comfortable holding more approvals as we have more MSR because of the MSR provide basis risk protection, we can basically run more pools than someone comparable to our size that doesn’t have MSR, but I’d say the short answer is somewhere between 12/31 and March 31, depending on the market environment.
Mark DeVries : Okay, got it. And my next question is related with mortgage revaluations recovering back close to one times book. Common equity raises are starting to be back on the table. If you were to do a common raise, at that point, you probably had deployable capital that would exasperate that challenge of being able to invest MSR and particular in commercial of the same basis as you raise capital. How should we think about a scenario like that, your investment mix shifting if at all?
Tom Siering: You’re saying our investment mix predicated on an equity capital raise. Is that your question?
Mark DeVries : Yes, exactly. If you were to raise equity capital, I think currently given your market capital I think the size would truly be more than what you preferred. And now I think your ability to, given like that, I guess the $2 billion to $2.5 billion of flow UPB and MSR it will be much harder to kind of deploy in anywhere in the same pace in which you could buy pool. So just kind of wondering how that might impact the shift? And how you allocate?
Tom Siering: Firstly, I certainly don’t want to put the cart before the horse here. This is predicated on our raising capital through our common stock offering and that’s a very big presumption. The way we feel about this is that never say never, but we would be really, really reluctant to do a common stock offering that would be diluted for shareholders. So, our history in this has been very clear that its premised on two things, is it a good deal for our existing shareholders and secondly, do we have something smart to do with the money. And so it would be very presumptuous to assume that we’re going to raise equity capital in here. But to be abundantly clear, the capital that we did raise through the convertible debt offering one primarily financing MSR and with respected to preferred issuance, that capital was used initially – was allocated to agency securities as a placeholder and then overtime it would be – will be reallocated to MSR and to commercial real estate.
Mark DeVries : Okay, guys. Thanks.
Operator: Thank you. And I’m sure no further questions at this time. I would like to turn the call back to Mr. Siering for closing remark.
Tom Siering: Thank you, Kelly. Thank you for joining our first quarter conference call today. We hope to see you at our Annual Meeting in May. Please call Investor Relations to RSVP. Have a wonderful day.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. This does concludes the program and you may all disconnect. Everyone have a wonderful day.